Operator: Welcome to the DXP Enterprises, Inc. 2011 Fourth Quarter and Year-End Conference Call. [Operator Instructions] This conference is being recorded today, Wednesday, February 29 of 2012.
 And I would now like to turn the conference over to Mac McConnell, Senior Vice President and Chief Financial Officer. Please go ahead, sir. 
Mac McConnell: Thank you. Good evening and thank you for joining us. Welcome to DXP’s fourth quarter conference call. David Little our CEO will also speak to you and answer your questions.
 Before I begin, I want to remind you that today’s discussion will include forward-looking statements. We want to caution you that such statements are predictions and actual events or results may differ materially. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis is contained in our SEC filings. The DXP assumes no obligation to update that information.
 I will begin with a summary of DXP’s fourth quarter 2011 results. David Little will share his thoughts regarding the quarter's results. And then we will be happy to answer your questions.
 On October 10, 2011, DXP acquired substantially all of the assets of Kenneth Crosby or KC. DXP paid approximately $16 million to KC. KC operates at 5 locations in New York and Massachusetts. DXP recognized approximately $11.9 million in the sale of KC during the fourth quarter of 2011.
 On December 30, 2011, DXP acquired substantially all of the assets of C.W. Rod Tool Company or C.W. Rod. C.W. Rod has 7 locations in Texas and Louisiana. DXP paid approximately $1.8 million DXP’s common stock of 35,714 shares and approximately $42 million of cash to CW Rod. DXP did not recognize any revenues to C.W. Rod in the fourth quarter of 2011. 
 Sales for the fourth quarter increased 28.7% to $218.4 million from the fourth quarter of 2010. After excluding fourth quarter of 2011 KC sales of $11.9 million and October and November D&F 2011 sales of $4.2 million, sales for fourth quarter increased 19.2% on a same-store sales basis. 
 Sales for Supply Chain Services increased 21.8% to $38.6 million compared to $31.6 million for the 2010 fourth quarter. Excluding 2011, KC Service Center segment sales approximately $9 million, Service Center segment for 2011 increased 3.1% from 2010 on a same-store sales basis. 
 Sales of Innovative Pumping Solutions products increased 38.6% to $32.5 million compared to $23.4 million for the 2010 fourth quarter. Sales of our Service Center segment increased 28.6% to $147.4 million compared to $114.6 million of sales for the fourth quarter of 2010. After excluding 2011, service center segment sales of KC of $5.5 million in October and November 2011, D&F service center segment sales were $4.2 million. Service center segment sales for the fourth quarter of 2011 increased 19.7% from the fourth quarter of 2010, on a same-store sales basis. When compared to the third quarter of 2011, sales for the fourth quarter of 2011 increased 5.1%, after excluding KC fourth quarter sales of $11.9 million, sales for the fourth quarter declined 0.006 %. This decline is west in the 4.7% fewer business days of the fourth quarter as compared to the third quarter.
 Fourth quarter 2011 sales versus the supply chain services increased 11.1% compared to the third quarter of 2011. After excluding $5.9 million, our fourth quarter 2011, KC supply chain services sales, service center segment sales for the fourth quarter declined 6%. Fourth quarter 2011, sales of innovative pumping solutions product increased 3.6% compared to third quarter of 2011.
 Fourth quarter 2011 sales by our service center segment increased 3.9%, compared to the third quarter of 2011, after excluding KC service center sales up $5.9 million, service center segment sales for the fourth quarter declined 0.003 % from the third quarter. Sales for all of 2011 increased 23% to $807 million from $656.3 million in 2010. Sales for KC acquired on October 10, 2011 accounted for $11.9 million 2011 sales, sales at Quadna and DNF acquired in 2010 accounted for $35.5 million of 2011 sales on a same-store sales basis, excluding 2011 sales by our businesses acquired in 2010 and 2011, sales for 2011 increased 15.8% from 2010 on a same-store sales basis.
 Sales for the Supply Chain Services segment increased 14.2% to $144.5 million compared to 2010 sales of $126.5 million; including KC Service Center sales of $5.9 million Service Center segment sales for 2011 increased 9.5% on a same-store sales basis.
 Sales of Innovative Pumping Solutions product increased 32.8% to $102.3 million compared to 2010 sales with $77 million after excluding first store 2011 Quadna, IPS sales of $3.3 million, IPS sales for 2011 increased 20.5% to 28.5% from 2010.
 Sales for Service Centers increased 23.7% to $550.2 million compared to $452.7 million of sales for 2010. After excluding Quadna, KC, DNF, Service Center segment sales were $38.2 million, Service Center segment sales for 2011 increased 15.3% from 2010 on a same-store sales basis.
 Gross profit for the fourth quarter of 2011 increased 26.2%, compared to the 28.7% increase in sales. Gross profit as a percentage of sales decreased to 28.7% in the fourth quarter of 2011 compared to 29.3% for the fourth quarter of 2010.
 This decrease is a result of the acquisition of KC which has lower margin, compared to the third quarter of 2011, gross profit as a percentage of sales for the fourth quarter of 2011 increased 28.7% from 28.6% for the third quarter of 2011, primarily as a result of improved margin in IPS segment. Gross profit for all of 2011 increased 23.1% of 2010 consistent with the 23% increase in sales. Gross profit as a percentage of sales was 28.7% for 2011, the same as 2010.
 SG&A for the fourth quarter of 2011 increased $8.2 million or 21.3% from the fourth quarter of 2010, compared to the 28.7% sales increase. This increase is partially the result of $3 million of SG&A expenses associated with KC and D&F on same-store sales basis.
 As a percentage of sales, SG&A decreased to 21.4% from 22.7% for the fourth quarter of 2010. SG&A for the fourth quarter of 2011 increased $1.8 million or 3.9% from the third quarter of 2011. This increase is primarily as a result of $1.6 million of SG&A expenses associated with KC. As a percentage of sales, SG&A decreased to 21.4% from 21.7% for the third quarter of 2011. For all of 2011, SG&A increased $25 million or 16.6% compared to the 23% sales increase. This increase is partially the result of $9.6 million of SG&A for businesses acquired 2010 and 2011 on a same-store sales basis. As a percentage of sales, SG&A decreased to 21.9% from 23.1% for 2010. SG&A for 2011 as a percentage of sales declined primarily as a result of economies of scale being bigger.
 Headcount increased approximately 18% during the year. Excluding KC and C.W. Rod employees, headcount increased approximately 8% during 2011, primarily as a result of hiring additional sales people during the year.
 Interest expense for the fourth quarter of 2011 decreased 39.8% from the fourth quarter of 2010. Interest expense for all of 2011 decreased by 32.5%. These declines are the results of decreased rates on our credit facility combined with reduced average outstanding debt level.
 On July 23, 2011, we have ended our credit facility. This amendment significantly decreased the interest rate and commitment fees applicable at various leverage ratios from the levels in effect before July 23, 2011.
 Despite the $18.4 million of debt incurred with the acquisition of KC and CW Rod, total long-term debt only increased $13.3 million during the fourth quarter of 2011. During all of 2011 total long-term debt increased approximately $300,000 despite the $18.4 million of cash paid for the acquisitions of KC and CW Rod. During the fourth quarter of 2011, the amount available to be borrowed under our credit facility increased $26.6 million to approximately $78.2 million. This increase is primarily the result of increasing the maximum amount of our credit facility to $200 million from $150 million. Our bank leverage ratio was 1.49:1 at December 31, 2011. At December 31, 2011 approximately $36.7 million of the purchase price with CW Rod was recorded on our balance sheet as outstanding check. If these checks had cleared the bank at December 31, 2011.
 The leverage ratio would have been approximately 1.97:1. Capital expenditures were approximately $600,000 for the quarter and approximately $4.1 million for all of 2011. Cash on the balance sheet at December 31, 2011 is $1.5 million. Accounts receivable and inventory balances were $137 million and $93.9 million respectively at December 31, 2011.
 I am happy to report that the tone of our business is improved throughout 2011. Now, I would like to turn the call over to David Little. 
David Little: Thanks Mac and thanks to our participants today. DXP's fourth quarter and yearend results for 2011 were exceptional. We have produced 8 straight quarters of sequential quarter-over-quarter growth in top line and bottom line results.
 Our sale for the year grew 23% reaching $807 million producing a net income increase of 62%. We promised 2 acquisitions and delivered two metal working companies, Kenneth Crosby and C.W. Rod. They will now make up a separate division called the Metal Working Division. We are pleased to have Chuck Rod from C.W. Rod heading up this division as Vice President of Metal Working Products.
 We continue to demonstrate our ability to acquire companies and set our strategy to grow our breadth of technical products and services. All 5 divisions including Rotating Equipment, Bearings & Power Transmissions, Safety Products and Services, Metal Working and Industrial Supply increased sales in 2011.
 Our goal is to capture more of the customers' maintenance, repair and operating MRO spend and to improve their efficiencies in operating cost. As we accomplish this, the entire breadth of DXPs technical products and services become stronger than any one individual could be. Our multiple segments and support divisions make us unique and gives us a competitive advantage that is winning market share against the competition.
 Great growth strategy, passion for outstanding customer service and technical expertise and our great DXPeople executing on all our strategies above is what makes DXP successful.
 Customer driven experts in MROP solutions accomplished by fantastic DXPeople who wants to help our customers improve their operations. We have policies, procedures, operating excellence to control the amount of growth along with the right balance of our entrepreneurial spirit to grow sales and be customer-driven. Thanks to our outside sales professionals and our inside customer service representatives that are experts that sell on providing value not on price.
 Thanks to their campaigning and the inventory management and purchasing group. They do a fantastic job of managing our inventory investment as DXP returns inventory 6 to 7 times a year. This is a big part of how DXP creates after-tax return on invested capital of 30 plus percent, one of the highest returns in our industry.
 Thanks to our Customer First Center, they provide excellent customer service. Our customer service reps are experts across a large breadth of technical products. This group continues to grow as they provide solutions for both our external and internal customers.
 Thanks to all the DXP people from our ballistic distribution centers, fabrication centers, SuperCenters, service centers, IT, collections, payable, accounting. DXP people are positive, creative planners and believers and continue this continuous improvement. DXP is a fast growing company, and people willing to change and be passionate about our ethical standards and our financial goals describe our culture.
 DXPs SuperCenters segment. In early 2011 our SuperCenters segment began reporting a surge in business within some of our core end customer markets, increasing sales and profits driven from our oil and gas and other energy related end market enabling us to make strategic investments in our network of service centers. Notably, in 2011, investments include 2, cutting tool acquisitions, a distribution center in Atlanta, the creation of 6 new SuperCenters and the establishment of a new region in Northeast United States.
 The management team for our service center segment also made significant investments in people. Our Human Resource investments came in the form of recruiting, technical training and our suite of excellence programs designed to reinforce our commitment to quality business processers. Collectively, our investments will allow us to take full advantage of the leverage we have created in our breadth of technical products and services. We are extremely grateful to our employees, customers and suppliers for making 2011 a record year.
 Moving into 2012, we remain optimistic about a stable MROP business environment. We continue to be excited about oil and gas drilling, oil and gas terminals, chemical manufacturing, mining of gold, platinum, uranium and copper, food and beverage, tire manufacturing and grain handling. And turning energy related end customer markets as contributor to an increase in SuperCenters conversions and profitability. Our SuperCenters strategy continues to create value for industrial customers seeking to consolidate their vendor base without sacrificing local inventory and expertise.
 We will continue to create new SuperCenters by investing in product line and service expansions throughout our network of Service Centers.
 Over the course of 2011, our Service Center management teams successfully converted 6 in-process Service Centers to SuperCenters, of which 2 reached SuperCenters status in the fourth quarter. We move into 2012 with a network of 28 SuperCenters and a momentum to convert the additional 8 Service Centers in process by the close of our fiscal year.
 Improving our ability to convert Service Center prospects to SuperCenters has led to a decrease in the number of in-process SuperCenters currently in the pipeline. We will actively speak out new SuperCenters candidates during the first 2 quarter of the year. We would like to recognize our employees, customers and suppliers in the Lake Charles and Denver market areas for their efforts in helping us create the 2 latest SuperCenters.
 Supply chain services. Supply chain services, SCS segment saw an increase in revenues over Q4 of 2010, and a year-over-year increase in both top and bottom line. Q4 experienced a slight decrease in organic sales over Q3, mostly due to fewer work days during the holiday season. Overall, the supply chain service segment had top line and bottom line growth in 2011 and we expect this trend to continue into 2012.
 DXP’s supply chain services continues to be a viable solution to many customers that are looking to outsource all or part of their supply chain. As a customer values are breadth of technical products versus commodity products then DXP is the supplier of choice.
 Our acquisition of C.W. Rod and Kenneth Crosby has added several new value propositions that are unique in the supply chain marketplace around the Metal Working area. Kenneth Crosby and C.W. Rod offer first tier access in Metal Working vendor products along with expertise to help lower the total cost of ownership.
 Kenneth Crosby and C.W. Rod also bring vendor solutions on a major scale to DXP with highly inventive cutting tool business. The vending solution comes from people that have knowledge and expertise to set up a wide spectrum of vending solutions for our customers.
 Innovative Pumping Solutions, IPS, Our IPS segment had a very successful year in 2011, beating its $800 million forecast with the operating income growing 64% over last year was outstanding and everybody should be congratulated. As we look at 2012 and beyond, upstream oil and gas, midstream and midstream continues to look strong. Both onshore and offshore activity is robust.
 Our expertise around pumps and modular pumping system makes us a supplier of choice. Every customer can tell us what he wants, we can design it and build it and often provide better results than he had hoped for. If a customer needs lightweight corrosion pipe, our DXP pipe division can get it done.
 If you need a remanufactured pump for quick delivery on a pipeline, the DXP can get it done. If you need a disposal pump in the oil field, DXP's HP-Plus pump can get it done. If you need service selling player and aftermarket support DXP's Innovative Pumping Solutions can get it done.
 2012 should be a fantastic year for Innovative Pumping Solutions. Again, we would like welcome a talented group of people from our last 3 acquisitions to our DXP family, Kenneth Crosby, C.W. Rod, giving us talented experts in Metal Working and we look forward to growing this division.
 Mid-Continent Safety gives us talent and geographic reach to expand our DXP safety services division. We are presently looking for more great companies and people in the safety industry. Our pipeline of acquisitions is full. I appreciate everyone involved on both the deal side, the integration side and all of the accounting effort.
 I really appreciate the successful people that make up the companies we acquire. DXP's first job is to not screw up the acquired company. Our second job is to make the people feel good as they join DXP. And our third job is to support them, so that the employees and their customers feel like winners.
 In conclusion, 2011 was a fantastic year. We grew sales 23%. We grew earnings per share 58%. We grew EBITDA margins from 7.1 to 8.1 and we're still expecting 10% margins by 2013.
 After tax, return on invested capital is at an industry high at 30 plus percent. DXPeople grew from 1,821 to 2,098. We added 6 SuperCenters making a total of 28. We increased total centers from a 112 to 123. We expanded our senior management team by 2, Senior VP of Information Technology and a Senior VP of Corporate Development.
 We created a new division for metal working increasing our capacity for modular pumping system for our IPS segments, grew our outsides sales professionals from a 199 to 287. We filled our pipeline with profitable acquisitions, opened new locations in the Marcellus and Eagle Ford shale areas.
 We continue to improve on operational excellence, sales excellence, margin enhancements and SuperCenters. 2011 was not only a great year, it was a busy one. And I feel strongly that we have set the stage for a very successful 2012.
 Our goals of increasing sales 10% organically and 10% through acquisition will make us a $1 billion revenue company in 2012. My goal was $1 billion in revenues and 10% EBITDA margins by 2013. Sales should happen this year and those EBITDA margins will probably have to wait until 2013.
 Our markets look good, our strategies are working and DXP has a great passion and motivated team of DXPeople that are executing our business. I want to thank our DXPeople. This is people business and our expertise and their passion for customer service makes me proud to be a part of their DXP family. I want to thank our customers who believe and trust in DXP to bring value and performance to their customers. I want to thank our suppliers who give us great product that help us bring value to our joint customers. I appreciate the suppliers that understand how we both win, but our relationship grows with the customers, because of our breath of technical products and services that helps the customer being more efficient. I want to thank our shareholders for their continued support.
 And that concludes my portion. We are now open for questions. 
Operator: We will now being the question-and-answer session. [Operator Instructions] Our first question comes from the line of Matt Duncan with Stephens Inc. 
Matt Duncan: The first question I've got, David, you actually address this towards the end of your comment, just sort of about your growth outlook here in 2012, if I understood you correctly, you feel like there is no reason you guys can't do at least the 10% organic growth goal that you laid out in 2012, correct? 
David Little: That's correct. 
Matt Duncan: Okay. And then looking at the various pieces, I think on the last conference call you said, you felt like IPS, to do about $120 million this year, I know there has been some pretty nice strengthening in that market over the last 3 to 6 months, is that still what you think the right goal is for 2012, with the goals now starting to come back as well you maybe do better than that now. Just can you update your thoughts on that segment? 
Mac McConnell: 25% to 30%. 
Matt Duncan: That’s helpful. On the SuperCenters conversions, I guess, you converted 2, you’ve now got 28, you said there is 8 in the conversion process today. What is the annual goal for the number of locations you would like to convert? 
David Little: Well, we like to convert one per region. We’re realistically that doesn’t always happen and as you know some of this is opportunistic and our ability to find the right people to help us create these SuperCenters. So I think [indiscernible] who is Senior Vice President those ServiceCenters was saying and its right up there was that he feels pretty good about the 8 that he has on the board. And he plans on identifying some more to put in process, which in process by definition means that we hire the outside and inside person for a new value proposition. So we’ve got to hire them first before they would come in process. 
Matt Duncan: I guess just kind of depend on how quickly you can hire the people. 
David Little: Right. 
Matt Duncan: So whether or not it’s going to be 8 or some number great than 8 that you convert this year? 
David Little: That’s correct. 
Matt Duncan: Okay. Mac, do you have the sales data by month handy and then if you can maybe talk a little bit about what you’ve seen so far in January and February? 
Mac McConnell: I don’t have it in front of me, but I can kind of tell you from memory that I guess if you take the number of business days and calculate sales per business day in Q3, it was 3,248,000 or Q4, it was 3,580,000. My memory tells maybe that really we were kind of just running along at that Q3 level or little below during October and November and December was our very big month that really brought most of that group. 
Matt Duncan: What do you attribute that to? Was there some close outs in IPS, or was it really the whole business accelerated in December? 
Mac McConnell: We definitely IPS things that shipped in fourth quarter and some of it, I think December was strong. 
Matt Duncan: And is that strength and acceleration you saw in December, has that continued here in January and February? 
Mac McConnell: Well, I think when you take the oil and gas industry and realize that they really push hard to get all the equipment going into year especially if had any budgets left, and then when they head into New Year there seems to be typically a little bit of a lag as I get the new budgets approved, and so our January, which normally is going to be our lightest month of the whole year was really good. 
Matt Duncan: Okay. So it sounds like you guys are off to a really good start and given that January is usually soft and was strong there is no reason to think you can't put up another very good growth number here in the March quarter. 
Mac McConnell: We're going to keep those sequential quarters going maybe. 
Matt Duncan: Two more things, David. First, just as you look at various end markets, it sounds like oil and gas is probably the strongest. There's been some obviously a lot of talk about natural gas rates getting laid down. Can you talk a little bit about how that might impact you guys. I know you've got a lot of oil exposure and then very low gas-- low nat gas prices are probably helping you with the petrochem. So can you talk a bit about what you're seeing in the various energy markets? 
David Little: First of all, the horizontal drilling is increasing every month. Normal traditional drilling is declining and that's normally related to gas, doesn't have to be, but it can be. And I will tell you that we have customers saying they are cutting back on the number of gas wells that they are going to be drilling this coming year, doesn’t really go to zero, but they are cutting back in those areas. Now that makes sense, of course, because natural gas prices are very low. And that same lowness is that the chemical and petrochemical people that use natural gas as their raw materials are really doing quite well. So, to us we see very nice drilling activity mostly after oil. We see a lot of pipeline business designed around moving the oil whether that's pushing to down here in Houston where we have a plants or we need to ship it overseas or wherever we're shipping it. So, the pipeline industry is good, all that midstream. And then we see the downstream chemical plant being good. So, we're not really worried about natural gas drilling. We're more than making up for it in oil. 
Matt Duncan: That's what I was getting at it. And then last thing I’ve got is looking at your balance sheet if I adjust your debt balance for the check that were outstanding at the end of the year for C.W. Rod, it's around $151 million to $152 million. Your borrowing capacity is about $200 million facility. So what are your thoughts on the balance sheet at this point? And as you look at the M&A pipeline, I gather, it's probably pretty full, so how do you think about funding those deals and sort of balancing that out with the right level of leverage? 
Mac McConnell: For the deals that were in active discussions on right now, we have plenty of money available. In case we’re successful in some other deals that are still just preliminary, we have actually have a proposal to increase our line from $200 million to $300 million. 
Matt Duncan: And then, what's the leverage sort of max leverage you guys are comfortable at in terms of the leverage ratio? 
Mac McConnell: Three times to 3 1/2. 
Operator: [Operator Instructions] Our next question comes from the line of Greg Garner with Singular Research. 
Gregory Garner: Couple of them were already answered by the prior questioner. I just want to find out, with the recent acquisition, just opened up a new Metal Working division, is this also an avenue for potential growth, could it be organic or is it something that has to be by acquisition based on the geographies, where they are located? 
David Little: Well, it's both. We like to acquire any type of company that fits one of our 5 divisions now and then we bring additional products and additional resources to them to help them grow organically. We're always ---We tell them the good part about being public is you now got a growth, your top line and your bottom line at same time you got to do it at least 10%. 
Gregory Garner: Is that make a difficult I mean that business is it difficult to grow organically into another geography or do you need to purchase another facility elsewhere? 
David Little: That's a really good question. And we do, do greenfield starts-up, but they are normally going to be related to oil and gas where we are really, really good and we have customers that want us to come there and help them. So I would say, typically, we prefer to do an acquisition where we buy market shares and then we add to what they do. 
Mac McConnell: And we are also, sort of, you could call it acquisitions where we hire people which is how we create SuperCenters or we are adding people if I understand your question, you may be asking can we expand in becoming than in our 120 locations is up. 
David Little: Yes. Okay. Good point. I forget that. 
Gregory Garner: That’s why I leading to about having the SuperCenters grow through acquisition that way, okay. 
David Little: But we actually own Metal Workings we have a new start-up in Ft Worth. And then by the way, we're already doing about $20 million in that area through our integrated supply and through our service centers already. And so we just added enough volume, now we’re talking about $130 million volume in the Metal Workings area, and so that’s why we decided to make this effort. 
Gregory Garner: Okay. And I just want to clarify; I didn’t quite hear. It’s very end of the commentary, the EBITDA margin that would have to wait till 2013. What was the goal in that margin or the level? 
David Little: 10%. 
Gregory Garner: 10%. And it was mentioned that did I hear this correctly, $1 billion revenue is likely for 2012? 
David Little: Yes. 
Operator: Our next question comes from the line of Joe Mondillo with Sidoti & Company. 
Joseph Mondillo: First off, I was wondering if you could give me or just at least talk about the profitability of each of the 3 segments in the fourth quarter. 
Mac McConnell: As in total operating income? 
Joseph Mondillo: Yes, operating margin. 
Mac McConnell: The fourth quarter Supply Chain Services. 
Joseph Mondillo: Or just the income amount? 
Mac McConnell: Operating income will be about $2,381,000.
 That is 6.2% operating margin. IPS was $6,165,000 that shall be in 19% operating margin. ServiceCenters were $16,505,000? 
Joseph Mondillo: Can you say the last one again, sorry. 
David Little: I'm sorry, I'm arguing with Mac, in the sense that, you were talking about operating. 
Mac McConnell: ServiceCenters is $16,505,000 and operating margin percentage is 11.3%. 
Joseph Mondillo: Okay. I guess just to concentrate on IPS, David, I guess in terms your 25% to 30% goal, you did 27% growth in 2010, 33% in 2011, so you are essentially thinking that you can sustain that growth. What gives you the confidence that you can sustain that growth and how are you going about getting, how are you going about continuing to grow at those levels? 
David Little: Okay. I think although we have do the history and realize that when BP had their oil spilled on offshore that most of our business back in those days came from offshore platforms. And of course that business really went to zero or almost zero, and we had a big shift and to capacity we added to the acquisition of Quadna to onshore activity and now what's happening is the drilling utilization rates going from 40% to 64% in the Gulf. And the activity is picking up and we reported a lot of stuff last year that even became orders last year that will be produced this year. And so we’re going to be hitting on more cylinders with more capacity in the fact that the offshore and the onshore business is robust. 
Joseph Mondillo: Okay. So primarily drilling activity is generally driving that business? 
Mac McConnell: Well, production activity. 
Joseph Mondillo: Production activity. Okay. And what kind of capacity what sort of your max sales level or what kind of capacity does that business have right now? 
David Little: Well. We’re adding capacity to Snyder, Texas. We’re adding capacity to our Denver, Golden facility. We were down to one shift and now we've-- last year we were at 2 shifts, we actually could work with 3 shifts. We have flexibility and I’m not sure, I know if we were just maxed out 100% percent what that number would be. 
Mac McConnell: What we call 529 locations I think that second shift is not a full shift.
 They have a lot more than what they’re doing now before. And we have another location that’s just barely touching what they did before. [indiscernible] in a year and they did 7 or 8 in 2011.
 And there is lot of product capacity available.
 And we can create more if it's needed. We have to hire people. We are not having much people sitting around. 
Joseph Mondillo: Great. And then I guess in terms of the profitability I mean, you've had 19% in the fourth quarter, you did 14% in the second 15% in the third, you've seen a good amount of improvement there. Is that 19% sustainable or was there something in there in the fourth quarter that really boosted the margin there. How you thinking about profitability for 2012? 
David Little: It’s a utilization of assets that will drive higher margins to a point, and then you kind of reach that point and it will level out. 
Joseph Mondillo: I mean, I guess the sales base compared to the third quarter you had a similar sales base. So was there a particular product, the product mix in there that really shifted or drove the profitability in the fourth quarter compared to the third and is that sustainable. I’m just trying to get an idea? 
David Little: Everything we build is unique and part of that is it may have a unique profit margin. We have been commenting in prior quarters about how the gross profit was lower, had been lowered than what we've normally accustomed to on our Innovative Pumping Solutions jobs and lot of that is driven by that, when these jobs were bid, we and our competitors had empty shops and the competitors were bidding well to get that, but I think what we're doing is progressing towards a more reasonable, more normal gross profit margin product. 
Joseph Mondillo: Okay. So is a high teen operating margin more of a reasonable profitability standpoint? 
David Little: Yes. 
Joseph Mondillo: Okay. And then just lastly, in terms of being able to hit the top line, your 2013 $1 billion top line goal this year, but not being able to hit the EBITDA margin, why is that or is that just related to the less profitable acquisitions that you have taken on? 
David Little: No. 
Joseph Mondillo: I know some of those acquisitions carry lower than company average margin. I imagine that's dragging on it a little bit but. 
David Little: I do think we are going to get the 1% scale in expenses by being the larger company. And I don't think it’s-- we bought Kenneth Crosby they had lower EBITDA margins, a great return on invested capital, but C.W. Rod had 14% EBITDA margin. So, kind of offsets it. I think the question is a cultural one and a scale one. And the cultural part is being able to feel good about charging more and bringing more value to the customer and the scale one is about driving SG&A expense down. And I think you will see the scale happens, so I wouldn't be surprised to see 9.1% EBITDA margins this year. But I just don't think we are going to make the cultural change where we are able to charge more that's going to get us that other 1%. 
Operator: Thank you. Ladies and gentlemen, that concludes the DXP Enterprises, Inc. 2011 fourth quarter and year-end conference call. We thank you for your participation. You may now disconnect.